Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. At this time, if you have a question, you will need to press star one on your push-button phone. I would now like to turn the conference over to Erik Bylin. Please go ahead, sir.
Erik Bylin: Thank you, Operator. Good afternoon, and welcome to NETGEAR's Fourth Quarter and Full Year 2025 Financial Results Conference Call. Joining us from the company are Mr. C.J. Prober, CEO, and Mr. Bryan D. Murray, CFO. The format of the call will start with commentary on the business provided by C.J., followed by a review of the financials for the fourth quarter and full year and guidance for 2026 provided by Bryan. We'll then have time for any questions. If you have not received a copy of today's release, please visit NETGEAR's investor relations website at www.netgear.com. Before we begin the formal remarks, we advise you that today's conference call contains forward-looking statements. Forward-looking statements include statements regarding expected revenue, gross and operating margins, expenses, tax expense, and future business outlook. Actual results or trends could differ materially from those contemplated by these forward-looking statements. For more information, please refer to the risks discussed in NETGEAR's periodic filings with the SEC, including the most recent Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and NETGEAR undertakes no obligation to update these statements as a result of new information or future events, except as required by law. In addition, several non-GAAP financial measures will be mentioned on this call. A reconciliation of the non-GAAP to GAAP measures can be found in today's press release on our Investor Relations website. At this time, I would now like to turn the call over to C.J.
C.J. Prober: Thanks, Erik. And thank you all for joining us today. I have just completed my second year with NETGEAR, and I am exceedingly proud of the team and the results that we've delivered. After years of declining revenue, NETGEAR turned the corner in 2025 and delivered the first year of revenue growth since 2020, and record gross margins on top of that, leading to full-year non-GAAP profitability. This turnaround comes at a time when NETGEAR is celebrating its 30-year anniversary with much promise for the years ahead given our core strengths and the macro tailwinds we outlined during our Investor Day in November. Today, I'll cover a review of our 2025 accomplishments and give some color on our expectations for the year ahead. I am extremely pleased with what we accomplished last year and want to remind everyone that the groundwork for our 2025 performance began in 2024. Our objective during my first year was to correct foundational, operational challenges that NETGEAR faced, and we dug deep into the blocking and tackling of the organization to align a team that could deliver on the revenue opportunities while heeding the cost constraints required to turn NETGEAR's trajectory. As we moved into 2025, the emphasis turned back to the transition to growth as we worked to improve the margin profile of each business and translate that to improved profitability. Nowhere is our success and progress clearer than in our full-year financial performance. The momentum building behind NETGEAR's transformation clearly took off in 2025. Given our goal of entering the year, the results we're sharing today, I'm proud to say that 2025 was a financial and operational success. I want to wholeheartedly thank the team here for their dedication and diligence that's been the engine of this achievement. We began in 2025 with the restructuring that honed investments in the business to ensure the spend was properly aligned with the greatest opportunities for growth and profitability. This included the strategic investment in our highest growth opportunities and defined a framework to build our organization throughout the year that not only fills out our ability to capitalize on our opportunities but also improved our execution. As we began the year, our initial goal was to reverse the trajectory of our financials. We came into 2025 committing to investors that we would grow revenue, gross margins, and reduce our loss position while not quite expecting to be profitable. With the diligent effort of the team throughout the year, we were able to dramatically outperform our goals while navigating supply constraints and a substantially leaner channel. Full-year revenue grew by more than $25 million, and we also expanded our non-GAAP gross margin significantly across each part of the business, resulting in a 920 basis point improvement for the year. These gains in our top line and operating leverage translated to an improvement of $1.35 in non-GAAP EPS, including delivering non-GAAP net profit in each quarter. Importantly, this performance proves that we placed our bets in the right places and are firmly on the right path. While delivering stellar financial performance, we were able to drive forward many growth and operational initiatives to improve our outlook for the years to come. I'll now cover a couple of our most important achievements for each business segment in the last year. A big part of why I joined NETGEAR is that I see an incredible opportunity to differentiate our traditional hardware products by adding substantial value through software. To accelerate this effort in our enterprise business, we successfully acquired two software teams, Bog and Acxiom, which are now the foundation of our in-house software capabilities for enterprise. With these acquisitions, we accelerated insourcing of our software and have made great strides in leveraging AI to fast-track our roadmap execution. We also acquired the software stack that powers our ProAV solutions, and we're building an internal team that can drive faster innovation and more customer value than our prior partner-dependent development model. The second big opportunity for NETGEAR is to leverage these software investments to expand our subscription and services revenue. To further this, we launched our ProAV health services team last year. Our new team is helping our customers drive speed to value, providing dedicated, best-in-class support to ensure seamless AV solution deployments. This is just the beginning of our efforts to expand our value proposition, improve customer experiences, and drive higher-margin revenue streams. We also made significant strides in making NETGEAR the preferred vendor to work with across our enterprise AV partner ecosystem. A key point of emphasis for the team was to add AV ecosystem partners throughout the year, and I'm thrilled to share we grew our partner total to 524 by year-end, an increase of more than 150 partners in the year. In addition to the software-led product innovation and non-device revenue initiatives, our enterprise go-to-market transformation made incredible strides in 2025. We evolved our leadership, organization structure, and incentive plans, launched our partner program, revamped our website and partner portal, and changed our pricing, all with the goal of delivering on our promise to customers of being a partner that's easy to do business with. For consumer, in 2025, we again proved NETGEAR's technical leadership by delivering a slate of innovative, highly lauded new products during the year. While largely a strategic course correction to fill out our offerings in routers and mesh systems, these new products were met with strong market adoption and, importantly, stand as a cornerstone to help us expand our share position across the low and medium tiers of the market while further opening the funnel to our subscription services. And NETGEAR's offerings continue to stand out to consumers and professional reviewers alike, collecting a number of awards and accolades throughout the year. Given all the progress, we remain extremely well-positioned to capitalize on potential federal and state actions that could materially change the market dynamics in this space. We also made great strides in sourcing our software development capabilities on the consumer side of the business. Our newly formed software teams delivered a great new mobile app that launched with our new M7 mobile hotspot. This software platform is the go-forward foundation of our customer experience for our consumer products. We also capped off the year by growing our ARR in Q4 by 18% as compared to the prior year period, allowing us to end the year with over $40 million in ARR. And with the launch of our new M7 mobile hotspot, we have added eSIM monetization to the mix of our subscription and services revenue. From a financial results perspective, I'm thrilled to share that we capped off 2025 on a high note, delivering a fourth quarter that marked another tremendous proof point of the momentum we are building. With enterprise demand again growing double digits year over year, and strong work by the supply chain team navigating ProAV supply challenges, we were able to come in near the high end of our revenue guidance and exceed the high end of our non-GAAP operating margin for the seventh quarter in a row. Non-GAAP gross margin grew 750 basis points year over year in both enterprise and consumer, resulting in record quarterly non-GAAP gross margin of 41.2%. This flowed through the bottom line, translating to non-GAAP EPS of $0.26, up 117% sequentially. For the year, we improved our non-GAAP EPS by $1.35, an incredible validation of how the operational changes in 2024 flowed through to improved results in 2025. We also bought back roughly $50 million in shares in the fourth quarter, with total repurchases in 2025 of approximately $50 million. With all we accomplished in 2025, we're entering into 2026 with great momentum. Our philosophy continues to be to aggressively drive our transformation and embrace the inevitable changes that come with this. As such, this week, we executed a small restructuring impacting approximately 5% of our employees, including several senior leaders. Unlike in 2025, where we were looking to shift investments to our highest growth opportunities, this restructuring is driven by the opportunity to enable improved business unit incumbency, streamline execution, and ensure we have the capacity to onboard the capabilities needed to drive our growth in the years to come. We remain committed to investing in our transformational initiatives, and these changes have the added benefit of making additional room for those investments. One macro factor impacting our industry is the memory shortage caused by the unprecedented AI data center buildup. We've had success mitigating the situation to date and expect to have a limited gross margin impact in the first half of this year. That said, the memory challenges are escalating quickly, and the impact of the second half of the year is uncertain, but rest assured, we're continuing to do everything we can to mitigate these challenges. For the enterprise business, the situation is manageable. Memory is a small percentage of our bill of materials, and we have products that are more expensive with better margins. Also, we've seen and expect to see further industry-wide price increases by many of our competitors. We will follow suit while remaining extremely competitive from a value and price perspective. For consumer, the situation is more challenging given memory represents a higher percentage of the bill of materials, and the products have lower gross margins. We have multiple streams of mitigation efforts underway, which include negotiating ongoing cost sharing with our supply chain and channel partners, adjusting our procurement strategy, reducing promotions, and constraining OpEx for this business. We remain committed to minimizing the financial impact on operating income for our consumer business. While our efforts have successfully minimized impact to the first half, our ability to navigate the second half is uncertain at this point, and therefore, we may be challenged in delivering our own 2026 goals of growing revenue, margin, and profitability despite our best efforts to mitigate the memory situation. That said, our objective remains to hold the line on these high-level goals for this year. In closing, NETGEAR remains on a great trajectory as we delivered revenue growth, record gross margins, and profitability in 2025. We remain committed to our transformation and the mid and long-term targets we shared at Investor Day, and we will continue to make decisions aligned with our philosophy of driving long-term value for shareholders. With that, I'll now turn it over to Bryan.
Bryan D. Murray: Thank you, C.J., and thank you everyone for joining today's call. We closed out 2025 with a strong finish, building momentum throughout the year. Propelled by continued strength in our enterprise business, we delivered revenue at the high end of our guidance range. Coupled with disciplined operational execution, we delivered non-GAAP gross margin of 41.2%, yet another all-time high for NETGEAR. I'm pleased to share that this marks the seventh consecutive quarter where non-GAAP operating margin exceeds the high end of our guidance range. These impressive results serve as further proof of our progress as NETGEAR continues to drive towards expanding long-term growth and profitability. We exited the year with DSOs at 73 days, a ten-year low and another testament to the operational efficiency and agility of our new restructured organization. For the quarter ended 12/31/2025, revenue was near the high end of our guidance range, coming in at $182.5 million, down 1.1% on a sequential basis, and flat year over year. The fourth quarter's performance was driven by continued strength in enterprise, where ASP and unit each grew year over year in our ProAV managed switch products. Impressively, we again saw double-digit growth year over year in end-user demand to reach a record high level for this category. We also saw both of our businesses deliver strong year-over-year contribution margin expansion of at least 120 basis points. In Q4, we repurchased $15 million of our shares and ended the quarter with $323 million in cash and short-term investments. Our balance sheet remains strong, and our capital allocation strategy is working. We delivered $89.4 million of revenue in the enterprise segment for the fourth quarter, down 1.6% sequentially and up 10.6% year over year. We made further progress in the quarter on mitigating the supply constraints around certain managed switch products, working with key supply chain partners, thanks to the excellent execution of our team. Consequently, the revenue mix of our products from the higher-margin enterprise segment remained strong, coming in at 49%, an improvement of 470 basis points year over year. Taken in conjunction with the significant reduction in cost across our supply chain, this led to the record consolidated gross margin in the quarter and helped drive our operating margin outperformance. While we experienced supply constraints of certain of our managed switch products, the situation is dramatically improving, and we are slightly ahead of schedule. To fully capitalize on the substantial and growing demand, our team is rigorously working to increase our supply chain agility, and we continue to expect to be back into a healthy supply position this quarter. As a reminder, beginning in Q4, we are reporting two business segments, with the reporting of our current mobile products being included in our consumer business. We will continue to supplement reporting revenue for sold-to-service providers and plan to add our cable modem and gateway business sold in retail, which enable services offered by cable operators. This revenue call-out will allow investors to isolate these declining businesses in their assessment of NETGEAR and our transformation. In Q4, the consumer business delivered net revenue of $93.1 million, down 8.4% on a year-over-year basis and down 0.7% sequentially. Domestically, we saw sequential growth in Wi-Fi systems and were able to modestly gain share sequentially in the U.S. retail market. We're currently operating with lower-cost inventory and continue to benefit from an improved product mix of Wi-Fi 7 offerings. Coupled with streamlined channel execution, which is driving our strong margin expansion, leading to our highest gross margin performance for this business since 2021. Sales to service providers and associated products were down approximately 30% as compared to the prior year, while the core consumer business increased 1.6% as compared to the prior year period. Now moving on to an update on our recurring subscriber base. The team has made progress with our initiative to transform these offerings, and we have additional improvements slated for the coming year. We continue to believe that focusing on increasing our recurring subscriber base is the optimal strategy to add high-margin revenue to our router business while differentiating our offerings. In fact, we have been successful in incrementally improving our conversion rate, and our push to move customers to our higher ASP Armor Plus offering was once again a strong contributor to growing our ARR at 18% year over year, reaching $40.4 million in the quarter. We remain confident we can grow our highly profitable ARR over time, and I'm pleased to share that we exited Q4 with 558,000 recurring subscribers. For the full year 2025, NETGEAR net revenues were $699.6 million, up 3.8% compared to the prior year ending 12/31/2024. This was led by an impressive 18.8% growth in our enterprise business top line. This was partially offset by a decline in our consumer business revenues of 7.3% due to a 23.3% decline in sales to service providers and associated products, which was partially offset by an increase of 1.7% in the core consumer business. The proactive actions we took at the beginning of 2025 set the foundation for our success in the year, enabling us to make important investments for long-term growth, mostly within our enterprise business. As a result, we had a full-year non-GAAP operating profit of $5.9 million, resulting in a non-GAAP operating margin of 0.8%, marking a return to non-GAAP operating profit on a whole-year basis for the first time since 2021. From this point on, my discussion points will focus on non-GAAP numbers. The reconciliation from GAAP to non-GAAP is detailed in the earnings release distributed earlier today. Gross margin came in at 41.2% for 2025, once again an all-time high and the sixth consecutive quarter of sequential gross margin expansion. This marked an 840 basis point increase compared to 32.8% in the prior year comparable period and a 160 basis point increase compared to 39.6% in 2025. Our gross margin in the current period benefited from an improved mix of our higher-margin enterprise business and Wi-Fi 7 products within the consumer business, and improvements from a license acquisition relative to the year-ago period. In the fourth quarter, we entered into a strategic agreement to acquire a perpetual license for the operating system that powers our AV line and managed switches. Acquiring this technology improved our overall gross margins by roughly 100 basis points in the quarter. More importantly, it will unlock our ability to bring greater value to the AV ecosystem faster than we could otherwise. Drilling down to the profitability of our two business segments, both segments were profitable on a contribution margin basis for the third quarter in a row. Additionally, each grew their contribution margin by at least 320 basis points year over year, enabled by the operational discipline we've instilled across both business segments. Enterprise gross margin was 51.4%, a record for this business, and up 750 basis points year over year, driven again by strong demand for our ProAV managed switches and aided by the aforementioned license acquisition. The consumer segment was once again aided by our improved mix of Wi-Fi 7 products and strength in our higher-margin direct-to-consumer channel, which came in at approximately 15% of retail sales, improving our gross margin for this business by 750 basis points year over year to 31.4%. Total Q4 non-GAAP operating expenses came in at $69.2 million, up 8.3% year over year and flat sequentially. Our headcount was 784 at the end of the quarter, as we continue to reinvest the savings from our January 2025 reorganization, from 753 in Q3, in the areas of the business that we expect will deliver the best growth and profitability. This is reflected in the sequential headcount increase as we develop and expand NETGEAR talent, with a focus on insourcing software development capabilities and enhancing the go-to-market capabilities supporting our enterprise business. Our non-GAAP R&D expense for the fourth quarter was 11.9% of net revenue, as compared to 10.5% of net revenue in the prior year comparable period and 11.7% of net revenue in 2025. To continue our technology and product leadership, we are committed to significant but cost-effective investment in R&D. I'm pleased that we delivered non-GAAP profitability above the high end of our guidance range, enabled by our strong gross margin performance. Our Q4 non-GAAP operating income was $5.9 million, resulting in a non-GAAP operating margin of 3.3%, or an improvement of 560 basis points compared to the year-ago period, and an improvement of 120 basis points compared to the prior quarter. Our non-GAAP tax expense was approximately $3,000 in 2025. Looking at the bottom line for Q4, we reported a non-GAAP net income of approximately $7.7 million, resulting in a non-GAAP income of $0.26 per share. For the full year 2025, we delivered non-GAAP net income of $13.3 million or $0.44 per share.
Bryan D. Murray: Turning to the balance sheet, we ended 2025 with $323 million in cash and short-term investments, down $3.3 million from the prior quarter, with strong free cash flow largely offsetting $15 million in stock repurchases. During the quarter, $19.5 million of cash was provided by operations, which brings our total cash provided by operations over the trailing twelve months to $106 million. We used $5.9 million in the purchase of property and equipment during the quarter, which brings our total cash used for capital expenditures over the trailing twelve months to $20.5 million. In Q4, we spent $15 million to repurchase approximately 539,000 shares of NETGEAR common stock. We have approximately 1.5 million shares reserved in our current authorization, and our fully diluted share count is approximately 29.5 million shares as of the end of the fourth quarter. We're committed to returning capital to our shareholders and plan to continue to opportunistically repurchase shares in future periods. Before I get into our Q1 outlook, I would like to take a moment to touch on the memory situation and how it may affect us in the year ahead. To date, for 2026, we have been able to and expect to largely mitigate the impact of the increasing supply constraints of DDR4 memory and the resulting increase in memory pricing. However, as we plan out the rest of 2026 with our suppliers, we believe we may see an escalating impact on the cost to produce certain products through the coming quarters, with potentially an outsized effect on our consumer business in the second half. We are undertaking a number of mitigation strategies, many of which look promising, but one is to bring this issue to light as it could have a meaningful impact on our consumer business starting in the back half of the year if our mitigation efforts do not substantially counteract the headwind. I'll now cover our outlook for 2026. Within enterprise, end-user demand for our ProAV line of managed switches is expected to remain strong, and we have made progress on improving our supply position for these products. On the consumer side, we'll have a broader product portfolio to address the market, but we are seeing softening market demand to start the quarter, which could be attributable to broader pricing pressures from electronic makers dealing with the cost of memory. For service provider and related products, we expect revenue to be around $20 million, in part tied to the latest government shutdown, which would be a decline of approximately 35% as compared to 2025. Accordingly, we expect first-quarter net revenue to be in the range of $145 million to $160 million. In the first quarter, we expect our operating expenses to be slightly reduced from the prior quarter, aided by a small transformation-driven restructuring, with the savings being redeployed to further accelerate our transformation later in the year. Additionally, we expect a slight headwind to our gross margin of around 100 basis points, mainly relating to the rising cost of memory. Accordingly, we expect our first-quarter GAAP operating margin to be in the range of negative 16.3% to negative 13.3%, and non-GAAP operating margin to be in the range of negative 6% to negative 3%. Our GAAP tax expense is expected to be in the range of $1 million to $2 million, and our non-GAAP tax expense is expected to be in the range of $300,000 to $1.3 million for 2026. And with that, we can now open it up for questions.
Operator: At this time, I would like to remind everyone in order to ask a question, press star then the number one on your telephone keypad. Your first question comes from the line of Adam Tindle with Raymond James.
Adam Tindle: Okay. Thanks. Good afternoon, and congrats on a strong finish to 2025 on profitability. I just wanted to obviously, you've been very clear on the memory situation, which I understand is out of your control, mainly affecting the consumer side of the business, which is a helpful distinction. But I wonder if you might just put a little bit more of a fine point on the potential scenarios here. So, you know, for example, if we were to hold memory prices constant from here, you know, and we look at the back half of the year, is there a way to maybe just ballpark the potential impact so investors can set proper expectations on that? Understand there's gonna be changes in the pricing from here, and we don't know what's gonna happen in the back half. But just so we can run sort of a baseline analysis, we hold things constant. We enter the back half. What does that do to the business?
C.J. Prober: Hey, Adam. It's C.J. Good question. I'll start, and then Bryan can maybe fill in. A lot of our mitigation efforts make it hard to answer that question because they range from designing in new memory sources, despeccing memory where it doesn't impact performance, cost sharing with our supply chain and channel partners. And so, you know, but to paint this scenario, that's possible on consumer, is we could look to, you know, pull back on promotions, promote performance media, so that we can, you know, maintain a higher level of gross profit at a lower unit volume. Because that helps mitigate the memory impact. And on the enterprise side of things, right, as we mentioned on the call, full steam ahead. Like, we're driving the transformation. Nothing's really changed from our plans before this escalation. We are gonna do a price increase to help mitigate it. We've got air cover on that because a lot of our competition is doing the same. But you should think about enterprise as, like, full steam ahead. And we're gonna, you know, fairly easily manage through the memory situation there. But to put it because I think we talked about this super candidly, gonna ask that exact question, and you have a model to update after the call. So we took a look at consensus, we said, okay. If we're looking at consensus with the results we delivered in 2025, obviously, there's a lot of upside there. Right? If you look at the gross margin impact that we've delivered, profitability shift that we've made. Then you factor in the potential risk around memory in the back half, or, like, oh, maybe consensus, you know, with that, they'll take this as guidance. It's based on what we know today. It's like, maybe consensus is actually not too unreasonable. And so that's, you know, just to give you some framing because we did look at, you know, the numbers of your model, and we did want to be responsive to that question. It's just very unpredictable. We have a lot of really good, like I said, on the consumer side, mitigation efforts. We've done great to date. Our partners are being supportive. So that's kind of like, you know, the high-level framing we would give you on kind of the, you know, the full-year consensus when we the puts and takes do have anything to add to that?
Bryan D. Murray: No. I think you've covered most of it. Yeah. You've covered most of it. Just would stress that the first half, feel pretty solid about how visibility we have, you know, roughly four and a half months of inventory, which gives us that level of confidence. But I think the way you framed it is appropriate.
Adam Tindle: Got it. Okay. That's helpful. And I wanted to ask on sort of pricing and competitive environment. It kinda ties into this thought. But you know, it sounds like kind of really two different stories here. In enterprise, as you mentioned, competitors are raising prices, which is understandable and certainly rational. Given the input costs are rising here. It doesn't sound like that's happening as much in the consumer side, if at all. So I wonder if you might just kinda, you know, talk about the competitive dynamics and pricing in consumer. Is there potential for that to follow enterprise? Is it just a couple of bad actors? Right? And this will be, you know, the second part of the question. I assume, you know, some of those bad actors may ultimately potentially exit the market whether willingly or unwillingly. Any update on sort of the competitive environment and the potential for some of those competitors to be forced to exit? Thanks.
C.J. Prober: Yeah. Good question. I'll start, and then Bryan can fill in if I miss anything. You hit the nail on the head. So the way you described it, right, enterprise, across the board, we're seeing price increases. We haven't, you know, in our checks, we haven't seen any kind of macro impact to demand on that side of the business. The market dynamics in consumer are trickier. We have seen some behavior change from some players in the space and not others. And so, you know, it's not all competition is created equal. I will say, I think you were basically asking, like, what's the latest update on the regulatory front. And as we've been consistent in saying, you know, throughout these calls, like, we're just kind of reading the same stuff that you are. But of course, we're prepared to talk about some of the latest developments we've read in the news. So basically, since our last discussion at your conference in early December, December 4, there's a Bloomberg report that the FTC is examining whether TP-Link deceived customers by allegedly concealing its connections to China. Some of these are connected, as you'll see. On January 26, so just recently, the governor of Texas announced it was banning TP-Link along with a bunch of other companies from use by Texas State employees, and they cited there's some cybersecurity risks. And then I think the most important update, and it's a little bit nuanced, but I'll try to explain it as simply as I can, is the FCC passed a rule that requires companies that have FCC licenses in our space to certify whether they're owned by, controlled by, or subject to the jurisdiction of a foreign adversary that, of course, includes China. And those who say yes will be subject to a national security review. Those that say no or don't respond can have their license revoked. And it was interesting to think in the actual rulemaking, it was noted that TP-Link objected publicly to this specific rule. So obviously, even putting TP-Link aside, with a lot of competition in the long tail from foreign adversaries, this is a welcome rule. It hasn't been implemented yet. I don't have the timing on that. But, you know, the momentum here continues to build, and so we remain confident as ever that there's gonna be more to come.
Bryan D. Murray: And maybe I'll go back to the first part of your question just in terms of the consumer market and trends and maybe trying to relate it to the guidance that we provided, make sure it's clear. You know, we have seen a softer start to the year on the consumer side. Typically, the market would be down off this holiday period about 15%. What we're seeing is probably more around 20, low 20-ish percent range. You know, there's plenty of market data out there talking about consumer sentiment. I think we have heard of other consumer products where prices are on the rise. We've not seen that in our space. And maybe just kind of touching on the other piece of Q1 guidance, just reminding folks that we're calling out the service provider revenue, which now includes the cable products that enable cable operator services, and the guidance we provided there is projecting out what would be about a 35% decline compared to the Q1 2025 period. This portion of the business is in harvest mode, which we talked about at Investor Day. Probably less obvious is that Q1 is a relatively shorter quarter for us, just the way our fiscal calendar operates coming off Q4. It's down about 7.5%, which is pretty impactful on the enterprise side of the business where now that we've gotten to a healthier place on supply amid a switch, POS is really driving the replenishment back into the channel. It's pretty well matched. So that would have an impact on that business. And maybe just to give a little bit of context of Q2, what I was just saying with regards to the duration of Q1, Q2 returns to a normal order, which will certainly benefit the enterprise business. C.J. touched on earlier, and to that would be up about 4.5% off of Q1. Anticipated price increases on our enterprise products would start to kick in during that period. And then the consumer market's typically flat in Q2 off of Q1. So if you put all that together, like, our best guess would be Q2 would probably be about a sequential increase in the 5% range, which would help on the operating margin too going into Q2. Just from the incremental gross profit from the extra top line, that's probably net-net of everything, maybe a couple of 100 basis point improvement from an op margin standpoint. So just wanted to bridge all that because there is a lot of stuff going on in calling out specifically Q1 is a shorter period for us.
C.J. Prober: Yeah. And, Adam, just to make sure you're that that 7.5%, that basically means that Q4 is a week shorter than I'm sorry. Q1 is a week shorter than Q4 and even a couple of days shorter than the same quarter last year.
Adam Tindle: Got it. Really helpful, Dylan. Thanks, guys.
Operator: Your next question comes from the line of Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Yes. Thanks for taking my questions and congratulations on a solid quarter, guys. And so just any color on is there on the current health of channel inventory, are you seeing retail partners holding lean inventory levels in anticipation of a broader Wi-Fi 7 rollout, or is there still some legacy Wi-Fi 6 inventory to be cleared? Thanks.
Bryan D. Murray: Yeah. I would say it's not uncommon on the retail side going into Q1 coming off the holidays where you'll see them tighten up inventory. In the middle of the quarter. Many of them have January 31 year-ends. And so I'd say that activity is pretty in line with what we would expect. Obviously, with the softer sell-through, that will dictate, but I wouldn't say we've heard or seen any wholesale resets of optimal weeks of supply that retailers would carry. It will just map back into the velocity of POS that they're seeing today.
Tore Svanberg: Okay. Great. And kind of on a follow-up, last quarter, kind of previously mentioned establishing more of a safety stock and reaching an optimal inventory level position for ProAV managed switches by January 2026. So any color you can provide on whether there has been any successful clearing up of a sales backlog, and are you now in a position to ship more of an unconstrained end market demand for 2026?
C.J. Prober: I can start with that one, Tore. Bryan can weigh in as well. So, actually, right where we said we would be, great execution by the team. We've burned down most of our buffer stock. And so by the end of this quarter, we should be in a safety stock position. And, you know, just as a reminder, to tie this into kind of just the health of the enterprise business, if you look at Q1 and Q2 last year, managed switch revenue would be constrained because, you know, we didn't have stock to sell. We burned down the backlog. That increases revenue. And then if you look at it on a year-over-year basis, we had the big channel reset the prior year, so it's a bit noisy. But just to put it into context, like, the sell-through of our ProAV solutions last year was over we're not gonna give a specific growth number, but it was over 25%. So very healthy sell-through growth that we will now be matching sell-in and sell-through since we caught up on supply.
Bryan D. Murray: And I would just add, as I said earlier on the call, that, you know, the managed switch portion of our portfolio reached an all-time high in terms of end-user sales. So we're happy to see the trajectory it's on, and in terms of our inventory position, you would have seen us increase inventory quarter on quarter by $10 million, and that is largely attributable to getting into a better place on the managed switch.
C.J. Prober: Yeah. Not to overly pile on, but we were talking about some customer wins on the ProAV side with our team yesterday. And, you know, Topgolf, Bryan and I are both golfers, so it was a fun one to talk about. Topgolf is actually across the board, all of their locations powered by ProAV. So, like, the core of their product experience, which obviously has zero room for any type of performance issues. So it's kind of really strong validation. Another point of validation. And then in terms of, like, the trusted nature of our brand, we've deployed last quarter in the International Criminal Court in Benelux. We've deployed with NATO. And so, you know, we love sharing kind of the customer wins on this side of the business because they're big, high visibility, high-performance requirements kind of deployments.
Tore Svanberg: Got it. Very helpful. Thank you.
Operator: Your next question comes from the line of Jay Goldberg with Seaport Research. Your line is open.
Jay Goldberg: Hi. Thanks for taking my question. First off, I want to just look at sort of the structural change in the business. Looking at my numbers relative to what you guys delivered, revenue was a small beat, but EPS was a pretty big beat. That seems to imply a fairly high degree of operating leverage built into the model. And I know in the near term, we have all these memory problems sort of weighing things down. But I was hoping you could speak to how you're gonna build that operating leverage over what trajectory. Like, how does that look going forward? And are you gonna get the business to that more by our operating margin level?
Bryan D. Murray: Yeah. I mean, maybe I'll just I'll start off here. I mean, as we talked about at Investor Day, you know, we are still investing in the business that's largely going into the enterprise side. We did say that we would outpace revenue or sorry, OpEx growth ahead of revenue growth in '26 to really fund those long-term benefits that we see. We did say that would subside in '27. It would get back in line with revenue trajectory. You know, in reference to kind of what you were expecting for Q4. Obviously, the record high gross margin over 41% was the major driver there. One of the driving forces there. And we did mention this at Investor Day. But it was not necessarily factored into our guidance that we provided earlier than that. Was this acquisition of the perpetual license that is the operating system that powers our AV product portfolio, which is a huge benefit on a full-quarter basis that will yield about 150 basis points of gross margin expansion. We did get a portion of that in Q4, which is about 100 basis points that I mentioned. So those things are what's gonna really drive leverage in our model. And again, another point we touched on at Investor Day, we are expecting over the long term to get the enterprise portion of the business up to about 65% of our overall business based on what we see today, and that certainly will bode well in terms of margin expansion.
C.J. Prober: Yeah, Jay. The two things I would add are right. If you take that ProAV sell-through growth, it wasn't a growth number. I said it was bigger than 25%. And you apply that to the enterprise business, we've been clear about this. That means the rest of the business is declining, and that's because it's been in transformation mode. And so a lot of the we have high conviction in the potential of our enterprise networking and security business. We're making the investments needed to get that business on the right trajectory. We've got validation from customers and channel partners that we are addressing a significant gap in the market. So we're excited about that. And we're excited to in planning for building momentum in that business this year. So that's one point. The second point is as we transform our go-to-market side team on the enterprise side, and this benefits both ProAV and the enterprise network gaming security business, those upfront investments take time to pay back. Right? It takes time for sales to build their partner portfolio. We've even changed incentive structures to ensure that that's happening this year. And so that's part of the equation around the operating leverage on the enterprise side of the business.
Jay Goldberg: So it sounds like a lot of those drivers are still intact, and so maybe they get disrupted later in this year a bit by gross margins in memory. But that shouldn't change the underlying trajectory. Is that safe to say?
C.J. Prober: Yeah. On enterprise, that's correct. Consumer, we've got like I was saying, we've got the incremental cost, and it has a bigger impact there. And then some of the mitigation stuff we might do. But we also have, you know, an OpEx lever to pull there. And we remain committed to, like, one, we're very optimistic and bullish about the long-term opportunity in consumer. So Jonathan's strategy, he shared at Investor Day. Every day that passes, we feel stronger and stronger that we're heading down the right path with our Google partnership, with what we're doing in Wi-Fi 8. We're really excited about that, not just in terms of the new technology that that brings to market, but also that's the opportunity for us to reset our portfolio. So I don't want to sound like this memory thing is transitory and that, you know, it's not a transitory in, like, a one or two-quarter as you know very well. We're gonna have to work our way through 2026 at the end of the day, we remain very bullish. But we do have the lever to slow our OpEx investment on that side of the business, and we really do want to stand by our commitment of limiting the dilution to operating income from consumer while we go through that transformation. So that's the exercise that we're going to go through this year as we mitigate memory. But super excited about a long-term vision that we shared at Investor Day.
Jay Goldberg: Great. That's very helpful. Thank you. And just a quick housekeeping question. Bryan, could you repeat the numbers for ARR and users?
Bryan D. Murray: The subscribers? Yeah. In Q4, ARR was just over $40 million, and the recurring subscribers were 558,000.
Jay Goldberg: Great. Thank you.
Bryan D. Murray: You're welcome.
Operator: There are no further questions at this time. Mr. C.J., I turn the call back over to you.
C.J. Prober: Yeah. I'd like to just close by making a couple of points that may come up in our callback, so I want to share them here. That we have the ability to talk about them candidly. One is around buybacks. So we announced or we disclosed that we repurchased in Q4 $15 million of shares. That's one five, which equates to $55 million for the year. $84 million in the last seven quarters or so. And if you look at the if you do the math on what we spent and the number of shares we got, it becomes clear that we've been out of the market for several weeks. And we've been restricted from purchasing for the last several weeks. So is it a couple of days from now, now we have earnings behind us, we expect to be unrestricted for the purpose of implementing a plan or resuming buybacks. And so I just wanted to share that. We view the current price as attractive. And wanted to just be able to share here that returning capital to shareholders remains a priority. And then the last point I want to make is around AI because there's just obviously, everybody is following the market. Small developments from some of the AI leaders are leading to a lot of FUD for software companies and other companies. And I wanted to make very clear don't think you've been impacted by that, but I wanted to make very clear that we view AI as a long-term tailwind. And the fact that we have a device capability is a huge competitive advantage, and we're insourcing software at a time when we can leverage AI to do that very efficiently and very quickly. And furthermore, we envision a number of different ways to integrate AI into our products, not just for enabling better performance, but enabling new use cases. And so overall, we're quite excited about what's happening and taking advantage of that to the max in all of those areas, not to mention driving operational efficiency at NETGEAR. So with that, just want to reiterate my thanks to the NETGEAR team for delivering an incredible Q4 2025. And thank you all again for joining.
Operator: This concludes today's conference call. You may now disconnect. Goodbye.